Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Barrick Gold Q3 Results Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. As a reminder, this conference is being recorded on October 29, 2015. I'll now turn the conference over to Ms. Susan Muir, Vice President, Investor Communications. Please go ahead.
Susan Muir - Vice President-Investor Communications: Thank you, operator, and good morning, everyone. Before we begin, I'd like to point out we will be making forward-looking statements during the course of this presentation. This slide includes a summary of the significant risks and factors that could affect future outcomes for Barrick. For a complete discussion of these risks and factors, please refer to our most recent AIF filing. With that, I would like to turn it over to our President, Kelvin Dushnisky.
Kelvin Paul Michael Dushnisky - President: Thank you, Susan, and good morning to everyone on the call. Thank you for joining us. I'm here today with our Chief Operating Officer, Richard Williams; our Chief Financial Officer, Shaun Usmar; and our Chief Technical Officer, Basie Maree. This is the first earnings call for Richard and Basie in their new positions. However, both of them have been playing critical roles at the company for some time. Richard has been driving many of the important organizational changes we've made over the last year, some of which he will elaborate on today. Basie is our Senior Technical Leader and plays a key role in advising and supporting our operational teams. And as a part of our decentralized model, you've also heard us speak about how we are advancing the role of our mine general managers and our country executive directors to that of true business owners. I'm pleased to introduce you to two of them who are here with us today: Andy Cole, General Manager of Goldstrike; and Matt Gili, General Manager of Cortez. Barrick has always had a reputation for strong technical and operating talent, and so today we wanted you to have the opportunity to hear from two of our best. Before I go on, I would like to welcome Angela Parr to Barrick. She is our new Vice President of Investor Relations and will work closely with Susan Muir, who was recently appointed Vice President of Investor Communications. Angela has a strong background in IR at a number of UK and Canadian-based mining companies and we're excited to have her on board. We know she'll make a great contribution to the company. I'm pleased to report that we had a very strong third quarter and we continued to deliver on our key commitments for the year. But before we get into the financial and operating details, I'd like to talk for a moment about how we're driving value for our owners. We have one simple overriding objective: to create shareholder value by growing free cash flow per share. And we've really started to deliver with two consecutive quarters of positive free cash flow. We are a low-cost producer and we're not done yet. You can expect us to build on the cost and productivity improvements we've achieved this year. Our capital allocation decisions are governed by strict discipline and clear requirements for all investments, including a 15% hurdle rate and we will not waver on this. We are running the company with financial prudence. This means living within our means and making smart financial decisions, while preserving the entrepreneurial spirit that has always defined Barrick. Our technical expertise is second to none and you can see that in the use of groundbreaking technologies that unlock value for our shareholders. We're also talking about being obsessed with talent. Attracting top talent to Barrick and developing our people is absolutely central to our success. Our partnership culture means that we're owners in the business with an emphasis on trust and transparency. Over the past year, we've reshaped and focused our portfolio. We now have a smaller, higher quality portfolio underpinned by assets that drive free cash flow in our core regions in the Americas, assets with significant optionality for delivering growth in the coming years. And finally, our balance sheet is much stronger today than it was a year ago. Our ultimate objective is to get Barrick back into position of true financial strength, and we're making steady progress. It's also been very important for us to be clear about our priorities, and to do exactly what we said we would do. We set aggressive targets, and we are seeing strong execution across the business as we work to achieve them. I'm not going to go through every point on this slide, but it shows how we are delivering on our commitments. From free cash flow growth and cost reductions to a stronger balance sheet and a more optimized portfolio, we are advancing on our key priorities. So with that, I'll ask Shaun to walk you through our strong third quarter results.
Shaun Usmar - Senior Executive Vice President and Chief Financial Officer: Thanks, Kelvin, and good morning, everyone. We reported adjusted net earnings of $131 million or a $0.11 per share in the quarter. The net loss of $264 million largely reflects the impacts of $476 million goodwill impairment, which we took at Zaldívar, and lower realized gold and copper prices, as well as $20 million more in depreciation compared to a year ago. The key points I'd like to highlight here with our financial results is that, despite the high depreciation and lower realized price of $1,125 per ounce, that was $160 below our realized price a year ago, and $65 lower than $1,195 per ounce in Q2. We generated significantly higher adjusted earnings and free cash flow, compared to both those prior periods. This underscores the benefits in management action, cost reductions, and productivity improvements. And it really tells the story of how we're positioning Barrick to become increasingly cash flow generative even at these lower prices. Without these improvements, our pre-tax adjusted earnings would have been about $390 million lower than a year ago, and about $175 million lower than the second quarter based on the lower gold and copper prices. Adjusted EBITDA of $942 million reflects the same factors impacting the net loss, partially offset by an increase in gold sales despite the divestiture of Cowal and Porgera in Q3. Free cash flow of $866 million included a $610 million in proceeds from the sale of Pueblo Viejo stream, which we received at the end of the quarter. However, excluding this amount, free cash flow improved dramatically from $26 million in Q2 to $256 million this quarter or nearly ninefold. Operationally, we produced 1.7 million ounces in line with our plan and a better than expected all-in sustaining cost of $771 an ounce, driven mainly by lower cash costs of $570 per ounce versus $589 just a year ago, and lower mine site sustaining CapEx of $342 million compared to $410 million a year ago. Copper production was 140 million pounds at C1 cash costs of $1.53 per pound, reflecting improved operating performance at Lumwana and the effect of the weaker Zambian kwacha. In addition to cost reductions and productivity improvements, we've benefited from low oil prices and favorable currency movements compared to 2014. This was reflected in our initial guidance for the year and we continue to see a positive impact flowing through our costs. Our direct mining costs in Q3 were about $50 an ounce lower than in the same quarter last year before the effect of our currency and fuel hedge positions. They also reflect about $15 per ounce of overhead costs, which were not previously included in cash costs and which are now allocated to the sites. So on an apples-to-apples basis, excluding the effect of the change in our G&A reporting, direct mining costs would have been about $65 an ounce or $10 lower. These low direct mining costs reflect the benefit of lower currency and oil rates as well as productivity and cost improvements. However, we do have some legacy hedges at higher rates and factoring these in, the net decrease year-over-year is about $45 an ounce or 8%. We have no Canadian dollar hedges after this year and only 20% hedged on the Australian dollar next year with nothing in place beyond. Our own hedges will decline significantly starting in 2017 and drop further in 2018. Turning to our balance sheet. We've made strong progress against our targets to reduce debt by $3 billion in 2015 and we expect to meet it. Subsequent to quarter end, we used $1.1 billion of our $3.3 billion cash position to repurchase some of the 2016 notes and to complete the tender for some medium-term debt. And as of today, we repaid a total of about $1.9 billion this year. Building on these repayments, we intend to use the billion dollars in proceeds from the sale of 50% of Zaldívar and free cash flow towards debt reduction. We continue to expect the Zaldívar transaction to close in the fourth quarter. We've reduced total debt by 15% so far this year to just over $11 billion on completion of the debt tender yesterday and this has considerably strengthened our liquidity position. We now have less than $250 million in maturities due for 2018 and about $5.5 billion for the 2018 to 2023 period, and only $100 million between 2024 and 2032. About $5 billion of our total debt is very long-dated, maturing after 2032. Overall, the asset sales have been credit positive and along with our stronger cash flow are driving improvements in our total debt-to-EBITDA ratio. Over time, our objective is to reduce it to a level which would be consistent with the strong investment grade rating, 2 times to 2.5 times. After repaying $3 billion, total debt will have been reduced by 23% to just over $10 billion as you saw on the previous slide. And we expect annual pre-tax interest expense to be reduced by about $140 million. Our $4 billion credit facility remains fully undrawn and our consolidated tangible net worth has improved to $6 billion from $5.7 billion last quarter. I'd like to provide a progress update on the $2 billion in cash flow improvements we're committing to achieve by the end of 2016. This is relative to our original internal plans for 2015 and 2016 and it excludes the dividend reductions. These improvements are coming from productivity gains and reductions in operating expense, capital spending, corporate costs and working capital. We've now booked $1.8 billion or 90% of this target into our plans for the benefit of our revamped and more robust life-of-mine plans, $400 million in 2015 and $1.4 billion in 2016. Our focus in 2016 will be on continuing to drive productivity and sustainable cash flow improvements, while striking a balance with identifying value accretive investments and growth options for the company. We've added the working capital component for next year, as we've given our GM specific targets to reduce supply inventory and increase turn rates and they're already starting to deliver against those targets. This work is strengthening the resilience of our business in a lower gold price environment, and positioning us to deliver significantly stronger margin when gold prices recover. Here is the proof of our actions this year, and the picture is pretty compelling. Despite the more than $500 drop in the gold price from three years ago, including the $100 decline just in the last year, we've turned the corner on free cash flow. To break even in 2012, we would have required a gold price of more than $1,800 per ounce, more than $1,500 in 2013 and nearly $1,300 per ounce for 2014. But we're now generating free cash flow at $1,100 per ounce, and are focused on improving our breakeven price further. At the same time, our all-in sustaining cost has come down by 16% over this period. I'd like to acknowledge the truly exceptional efforts from our operating, finance, technical support and our license-to-operate teams to make these numbers a reality and to return Barrick to a more flexible position that supports our key objective of growing free cash flow per share. Turning now to our 2015 guidance. We've tightened our production guidance to 6.1 million to 6.3 million ounces to reflect lower expected production from Acacia. Although we have a brief shutdown of the mill (12:45) at Porgera due to lower water levels, operations are resumed and this will not impact our guidance. We've reduced our all-in sustaining cost guidance to $830 to $870 per ounce from $840 to $880, and brought down the top end of our cash cost range to 625 pounds from 640 pounds. Our copper production guidance is unchanged, 480 million pounds to 520 million pounds and C1 costs have been reduced to $1.60 to $1.85 per pound to reflect currency benefits and improved costs at Lumwana. As part of our improved all-in sustaining cost guidance, we've narrowed our mine site sustaining overall capital expenditure guidance for the year, and now expect total CapEx of about $1.7 billion versus our original guidance of $1.9 billion to $2.2 billion. We expect about 30% higher depreciation in the fourth quarter compared to the third quarter, primarily related to a drawdown in inventory stockpiles at Cortez, Lagunas Norte, and Goldstrike, and higher expected sales volumes at Pueblo Viejo. This was anticipated and will bring the full year total in line with our original guidance range of $240 to $260 per ounce. To cover our operating results, I'll now turn it over to Richard, our Chief Operating Officer.
Richard J. Williams - Chief Operating Officer: Thanks, Shaun. Good morning, everybody. Before we go to operating results, I'm just going to take a minute to tell you about how we're now operating as a company, and how we're developing our operations. The decentralized model that you've heard about is key to our improved performance this year, but not just as a cost-cutting tool. It's a key part of transforming the long-term way in which we're operating. What you see on the left on the slide in front of you is the old hierarchical command and control model, with operations run by regional business units reporting to a central Chief Operating Officer. In this model, this whole model, operational decisions including business plans happened in offices away from the mines, information and ideas were contained within functional or operational stovepipes, and there was limiting sharing of ideas between those mine sites and those operational leaders. Adaptability was sacrificed for order and the ability to deal with volatility and change was highly restricted. One of the major drawbacks of this model is that bad news took too long to arrive at the head office, by which time things had become worse or become difficult to fix. Another is the responsibility for creating solutions rested with only a few people at the top of the organization as opposed to using the whole network of talent in the company. So, in our new model, we've removed the regional and corporate layers of command, pushed decision-making and technical expertise down to the site leaders where it's as close to the source of problem as possible. And the role of the head office is reduced to focusing on setting strategy and allocating capital, human and financial, in ways that maximize returns. But this – typical of decentralization, or what others call the devolved model everywhere, is only half the story. Therefore, we've done more than that. We've done two other critical things to improve our adaptability and our effectiveness. Firstly, we've improved the ways that the operations are led. I don't mean just by upgrading talent, which obviously is what we're looking at, but building operational leadership teams at each of the sites comprised of the mine general managers, two of whom you're going to hear of from here; executive or another company just called country directors; and finance leaders, all working together to ensure that decisions are made to take due account of license-to-operate, mining, and finance/commercial needs. They operate as independent business leaders with the authority that comes with that and the responsibility, too. Secondly and critically, we've replaced the old hierarchy with a technology-enabled network, thereby by creating one team across the company. Information such as progress against plan, problem description, and so on, plus ideas are shared by and with every leadership team in the company via the weekly business plan review. A video conference that links everyone in the company and all those leadership teams together into a single, interconnected mind, improving idea flow across the company in ways that far outmatch the old system. In terms of access to that (17:17), we now know more by accessing the whole team, 500 brains if you like are better than 10 and speed, we solve problems and innovate faster, no bureaucracy. In this model, and just as a slight reference to myself, I'm neighbor (17:35) of that system releasing and developing the critical processes and the behaviors that ensure information and resources are placed with those that need the most in the right timeframe; ensuring that we avoid the silos with the bureaucracy that kills efficiency and adaptability; and just as importantly, ensures that we have the right talent to meet our standards of transparency, collaboration, and determination. Supporting this process and me with this are two critical advisory teams and they both report to me: one led by Basie as the Chief Technical Officer, described well by Kelvin earlier; and the other, not here, Peter Sinclair, the Chief Sustainability Officer, on the license-to-operate side. Both provide critical decision-making support to the executives with capital allocation and talent decisions, and to the operations with their problem solving and planning issues at their level. All of these teams, including the finance teams, clearly with Shaun, and all of those involved there, operational, advisory, and executive work together to maximize the commercial returns from the company's portfolio of assets in a changing and highly volatile market. Mining, license-to-operate, finance, operations, head office, and advisors all operating as one team with one purpose: growing free cash flow. Well, that's the model. Let's turn to operations. We expect our core mines in the Americas to contribute 60% to 65% of our 2015 production, and 75% of the overall mine site free cash flow from our portfolio. The average 2015 all-in sustaining costs have been reduced from $700 to $725 per ounce, down from $725 to $775 at the start of the year based on all that that Shaun has just described. And it's my great pleasure to hand over now to one of our business leaders, up from the ground, Andy Cole, the General Manager of our Goldstrike Mine to give you an update on his operation and the ramp-up of the TCM process.
Andy Cole - General Manager, Goldstrike: Thanks, Richard. Our third quarter production was in line with plan at better AISC on lower cash costs and sustaining capital. As a result, we've lowered our 2015 cash costs and all-in sustaining costs guidance. Fourth quarter production is expected to be similar to third quarter at slightly higher cost. I am pleased to report that our new TCM circuit reached commercial production in the third quarter. We expect to complete ramp up in the first half of 2016. The TCM circuit provides incredible processing flexibility for our Nevada operations. For example, we've had great coordination with Cortez and Goldstrike in optimizing or routing from a value perspective. Now, for Barrick, rather than just Goldstrike, we're seeing the benefits to cash flow by processing more Cortez ore through the roaster. There may be opportunities to expand this in the future to other operations, such as Turquoise Ridge. The project came in at a capital cost of $610 million compared to our latest guidance of $620 million, and we are we're now reporting on a cost of sales basis. Throughput has averaged over 9,000 tons per day since July, approximately 75% of the design capacity of 12,000 tons per day and throughput is trending upward. Our recovery rates have been a bit more challenging and this is where our focus is right now. Recoveries are more variable than anticipated, primarily due to higher carbon from some ore types which maybe better suited for roasting. We are working to better characterize our ore sources, as well we are modifying the resin to prove it – to improve overall recovery rates. We expect recoveries to average around the high 60s depending upon grade. This is not unusual with the introduction of a new technology and will not affect our 2015 guidance. I'm extremely proud of the team for this achievement in light of the fact that it's a brand new Barrick developed technology and has the only commercial use of this innovative cyanide-free processing technique in the world. I'll turn it over to my colleague, Matt Gilley to talk about Cortez.
Matt Gili - General Manager – Cortez: Thanks, Andy. Cortez had strong production in the third quarter, largely due to better than expected ore tonnages from the open pit operations. Our all-in sustaining costs of $501 per ounce, also reflected improved underground productivity, following the implementation of short interval controls, an initiative identified as a part of our value realization review. 2015 production guidance has been improved to 900,000 ounces to 950,000 ounces at lower all-in sustaining cost of $675 per ounce to $725 per ounce. We passed a very significant milestone this month, we reported our 20 millionth ounce, and this is half of what Goldstrike has produced, but we're a younger mine with a lot of potential ahead of us. The pre-feasibility study for the Cortez Hills deep south underground expansion is on track for completion by year end. Here, we are looking at the potential develop approximately 2 million ounces in, largely, oxide resources below the 3,800 foot level. This is pending receipt of the required permits. This zone averages a higher gold grade in the sulfide reserves above and there are deeper targets along the trend that have not yet been drilled. We will access these resources by twin declines, which have just received permitting approval. Development on these declines is expected to start in the first quarter of 2016. In addition, there is very good exploration potential for the future within our 382 square mile land package. So overall, Cortez remains a very perspective district for us. And with that, I'll turn it back over to Richard.
Richard J. Williams - Chief Operating Officer: Thanks, Matt. Obviously, we can't have everybody here today and I'm speaking on behalf of Ettiene Smuts and his team down at PV. Okay, the PV third quarter production was slightly below plan as that mine processed the larger portion of carbonaceous ore. All-in sustaining costs were impacted by lower silver recoveries associated with autoclave maintenance and lime boil limitations. And the advisory teams and the teams on the ground are adding two lime boil tanks, which will be operational in November. And this is expected to improve recoveries to the targeted 80% level or around 60% currently. And we continue their order forecast attributable production of 65,000 to 75,000 ounces of all-in sustaining cost of $540 to $590 per ounce in 2015. Production is expected to be higher and cost low in the fourth quarter on higher grades, improved recoveries and better autoclave availability. We highlighted last quarter the potential to convert a significant portion of the 6 billion ounces of those resources to reserves by removing tailing storage constraints. And we intend to commission a pre-feasibility study in the second half of 2016 to confirm this. Now, on to Lagunas Norte and Jim Whitaker's operation down there, which produced a 108,000 ounces at all-in sustaining cost of $581 per ounce in the third quarter, which was in line with expectations. Production in 2015 is now anticipated to be 550,000 to 590,000 ounces at lower all-in sustaining cost of $550, forgive me, to $600 per ounce. With stronger production expected in the fourth quarter, driven by improved performance at the Phase 5 leach pad. The lower production guidance reflects lower recoveries with some leach pad irrigation issues, which were in the process of being resolved by Jim and his team. Fourth quarter all-in sustaining costs are expected to be higher than the third quarter on the expected sale of higher cost inventory as well as increased sustaining capital for Phase 6 leach pad construction. The pre-feasibility study on a plan to extend the mine life by up to 12 years by mining nearly 2 million ounces of sulfide ore below the existing open pit is on schedule for completion in 2015. And now onto Veladero. Veladero production in the quarter was below plan due to lower grades and adverse weather, which impacted leach operations. All-in sustaining costs were higher than planned on lower ounces sold, timing of sustaining capital, and lower silver credits. Production guidance for 2015 is unchanged, and all-in sustaining cost guidance has been narrowed to $950 to $1,000 an ounce and cash cost guidance has been lowered to $550 to $600 per ounce from $580 to $630. Fourth quarter production is expected to be higher than Q3 at lower all-in sustaining costs. The Veladero leadership team has optimized the pit design this year to focus on higher grade material, which is expected to more than double the annual cash flow over the next four years while retaining the option to expand the pit in the future. And just a short update on the recent and unfortunate environmental incident, which led to a discharge of processing solution to the environment following a valve failure and a diversion gate that was open at that time. Third party water monitoring included that by the United Nations has confirmed there are no risk to downstream communities. Restriction on leaching activities were lifted following the implementation of additional monitoring and corrective actions and there is no impact to our guidance. With that, it gives me pleasure to hand over to Basie to talk about the optionality within our portfolio.
Basie Maree - Chief Technical Officer: Thanks, Richard and good morning to all. At the end of 2014, we had 93 million ounces of proven and probable gold reserves. These are high quality reserves. At 1.37 grams per tonne, our reserve grade is more than 50% higher than the senior peer average and the grade of the operating mines is even higher at 2 grams per ton, which is more than double the industry average. We have a strong potential within our portfolio to convert our 94 million ounces of measured and integrated gold resources into reserves at the various sites, projects and early stage opportunities you see listed here, and to add new reserves and resources into the pipeline. A feasibility study at Turquoise Ridge and pre-feasibility studies at Cortez Deep South, Goldrush and Lagunas Norte Sulfides are on track for completion by the end of this year. To give you bit more context for the opportunity of our assets, we have maintained a mine life of 10 to 20 years, for more than 20 years, through a strong track record of adding reserves at our existing operations, and by discovering and bringing new projects into production. We have an unparalleled track record in exploration, having found 130 million ounces of gold in the last 25 years at a very low average finding cost of $25 per ounce, which is roughly half the industry average. The total attributable value of the 10 major discoveries we've made over this period is about $107 billion, according to the SNL Financial and this excludes the recent Goldrush and Alturas discoveries. What also distinguishes Barrick is the value add, not just from new organic discoveries but of additional ounces we found post acquisition. Mine life and production at the majority of our operations have far surpassed the initial estimates. One notable example in Goldstrike, the original mine plan expected production to end in the year 2000, and currently extends well into the next decade. Our exploration budget is two thirds weighed to MinEx and opportunities around our existing operations. And we continue to identify excellent potential for resource conversion at many of our operations. Drilling and feasibility study worked to covert resources to reserves over the next five years at Cortez, Goldstrike, Lagunas Norte, PV and Turquoise Ridge is progressing well. In addition, we expect to convert part of the 60 million ounces of resources at our Goldrush project in Nevada once we have permitted and developed the underground exploration deep lines, established additional underground access and complete infill drilling. Turning to more fully defined elements of mineralization at the Alturas project in Chile is expected to resume shortly following a harsh South American winter. A good illustration of the optionality in our portfolio is the new drilling program at Hemlo. In the first quarter of this year, we completed the acquisition of some ground adjacent to Hemlo from a subsidiary of Newmont, which included an area of geological potential adjacent to our existing underground workings. We are currently conducting underground diamond drilling in this area to evaluate its potential. Drilling has encountered several high grade intercepts, which demonstrate the ongoing potential of prolific mineral districts such as the Hemlo camp, even as they become more mature. Turning to our Pascua-Lama project. Our temporary suspension plan has been approved by the mining authority in Chile. This will enable us to fully complete the transition to care and maintenance and should allow us to significantly reduce cost at the project in 2016 from the $170 million to $190 million estimated spend for this year. The team at Pascua-Lama will be focused on developing an optimized plan for 2016 and we'll assess the spend when it is complete, but we've been clear that the project must ultimately meet a minimum 15% ROIC hurdle rate before we'd consider restarting it. I'll now turn it back over to Kelvin for his concluding remarks.
Kelvin Paul Michael Dushnisky - President: Thanks, Basie. So, to finish off where we started, we've made great strides this year to reshape Barrick into a leaner, more nimble company. We've grown free cash flow for two consecutive quarters. Our balance sheet is stronger and steadily improving. We're already in a very competitive cost position and we intend to drive down costs even further through improved productivity and efficiency. We will maintain strict capital discipline, regardless of whether the gold price is $1,100 or much higher, all investments must meet our minimum investment hurdle of 15%. We have a fantastic low cost asset base that includes high quality reserves and resources with significant optionality for growth at our existing operations and at our projects which includes some of the largest undeveloped gold deposits in the world. And you can count on us to stay sharply focused on delivering results, as we finish the year and move into 2016. That concludes our presentation. We'd now be happy to take any questions. Thank you.
Operator: Thank you. We will now take questions from the telephone lines. The first question is from Andrew Quail from Goldman Sachs. Please go ahead.
Andrew C. Quail - Goldman Sachs & Co.: Good morning, Kelvin and Tim. Congratulations on a very strong quarter, very encouraging. Just a couple questions. Just on the flagged asset sales that you guys have mentioned. Can you just give us a brief update on where we are in that process?
Kelvin Paul Michael Dushnisky - President: Thanks, Andrew. I appreciate your comment. Process is moving really well. Look, I've got Kevin Thomson here who's actually running the process. Kevin do you want to give a little more background?
Kevin Thomson - Senior Executive Vice President, Strategic Matters: We have just started round two of that process. These assets are highly sought after, I'd say, very competitive robust process, and our expectation is to sign one or more binding agreements before the end of the year.
Andrew C. Quail - Goldman Sachs & Co.: Great. Second question is, actually on Cortez, obviously, a great quarter. Matt, you're obviously in the room. Grade also went up, and you've given some sort of guidance that we're having good production, but do you think that as we head into sort of 2016, are we sort of going to come back to sort of a more of a Q2 sort of grade of 1.7?
Matt Gili - General Manager – Cortez: Well, Andrew. I mean, we haven't yet produced guidance for 2016. And so I will hesitate to talk about 2016, but I will say, Andrew, as we've discussed earlier, the first two quarters were showing as we were coming down on that ore body going through what was largely stripping. In the third quarter, we hit solid ore on the Cortez hills open pit, and that ore will continue for the next several years.
Andrew C. Quail - Goldman Sachs & Co.: Great. And throughput, I mean something – obviously, that went up too, so it's a great quarter. Is that something you guys are aiming to sort of maintain?
Matt Gili - General Manager – Cortez: Yeah. The great quarter or the improvement over the great quarter, was really attributable to two things. One was we were getting a slightly positive ounce reconciliation on the Cortez Hills deposit and the second half of that was really due to increased underground production, just not a grade reconciliation, but just more tonnes being produced by the same teams.
Andrew C. Quail - Goldman Sachs & Co.: And last question, just quickly. I think I just missed a bit. You're talking about Pascua-Lama and, obviously, the holding cost is coming down. Can you just give us what you expect it to be sort of from 2016 onwards with care and maintenance?
Kelvin Paul Michael Dushnisky - President: It's Kelvin, Andrew. We'll give that guidance at the end of the year, more specifically. Look, we're working hard. Now that we have the temporary suspension plan approved, it allows us to really ratchet down costs on a going forward basis. So we'll give you a little more detail on that at the end of the year, if you don't mind.
Andrew C. Quail - Goldman Sachs & Co.: Great. Thanks very much, guys.
Kelvin Paul Michael Dushnisky - President: Thanks, Andrew.
Operator: Thank you. The next question is from Greg Barnes from TD Securities. Please go ahead.
Greg Barnes - TD Securities: Thank you, operator. Kelvin, you've got the balance sheet in much better shape and you've been playing defense for the last three years or four years. Are you now starting to think about getting a bit – little more on the offensive side of things, to do things to improve your production profile, longer term, and move some of these projects forward more quickly?
Kelvin Paul Michael Dushnisky - President: Thanks, Greg. Look, we're staying very sharply focused on our commitments and priorities for the year. As we indicated earlier, the $3 billion commitment for this year, we're pleased with it and – but that was first step. We're going to continue to strengthen the balance sheet. We'll weigh other opportunities on a going forward basis. We always evaluate the landscape. If there are opportunities to make really good sense and would generate value, then obviously we'll consider that, but at this point, we're staying pretty sharply focused on what we set out to do.
Greg Barnes - TD Securities: So, what are going to be your principal priorities for 2016?
Kelvin Paul Michael Dushnisky - President: Well, we'll align those with our – at the end of the year, Greg. But we're going to continue – one thing is for sure, the focus on generating free cash flow per share is really driving the business and you're hearing that through everything we presented this morning. So when we come back to you and outline next year as we did this year, what our objectives are, you can count on that as being the – what's underpinning everything.
Greg Barnes - TD Securities: Okay. Thanks.
Kelvin Paul Michael Dushnisky - President: Thanks Greg.
Operator: Thank you. The next question is from Stephen Walker from RBC Capital Markets. Please go ahead.
Stephen D. Walker - RBC Dominion Securities, Inc.: Thank you. Just a couple of questions, just with the focus that you have on converting resources to reserves and growing reserves. I guess it begs the question whether we're going to see Pascua-Lama and Cerro Casale, they'll be Cortez reserves at year-end, can you comment on that? And also comment I guess on the carrying value of the assets, the gold assets, in particular, you've obviously adjusted the carrying value of the copper assets, but whether it's gold or copper assets, what assumptions are going to be made at year-end as far as those carrying values and what we could expect or what we should start thinking about as carrying value for assets going into 2016?
Kelvin Paul Michael Dushnisky - President: Thanks, Stephen. Look I'll touch on Pascua-Lama and Cerro Casale and (38:27) and perhaps Richard to comment on the other aspect. Pascua and Cerro Casale both, we'll give our reserve estimate at the end of the year. Both projects at this point qualify and even though the economics of both Cerro Casale and Pascua-Lama aren't such that we go forth as projects today, we certainly believe there's – there will be a point in time in the future when we would. But as far as making the decision, we'll do that with the year-end reserve calculation and report back then. In terms of the other aspect, Basie, do you want to start??
Richard J. Williams - Chief Operating Officer: Apologies, Kelvin. Stephen can you repeat it, it was very difficult to hear what you said, you're very faint, the second part of your question?
Stephen D. Walker - RBC Dominion Securities, Inc.: Sure. Just the assumptions that you would likely be using for the carrying value of the gold and copper assets, are they going to change significantly year-over-year? At this stage, I know it's early in the process, but give us a sense on what we could expect as far as carrying values for the goodwill and the book values for the gold assets in particular, but also the copper assets?
Shaun Usmar - Senior Executive Vice President and Chief Financial Officer: Yeah. Steven, it's Shaun here. Look, we are, as you say, going through that as we go into Q4, which is the norm for us. I'd say, we're well advanced in not just we revamped our life of mine planning process, but we're feeding that through into our models. And we've talked on prior calls, as you may recall, about the work that was done as part of the asset sales prices, around value realization. We're factoring those into the models as well. And so, on the one hand, we may see some changes in macro assumptions, but I think we will see some offsets in the work that's been done this year.
Stephen D. Walker - RBC Dominion Securities, Inc.: Okay. Thanks, Shaun. Thank you, Kelvin.
Kelvin Paul Michael Dushnisky - President: Thanks, Stephen.
Operator: Thank you. The next question is from Anita Soni from Credit Suisse. Please go ahead.
Anita Soni - Credit Suisse Securities (Canada), Inc: Hi, good morning, guys. My question is with regards to the reduction at Veladero. Could you provide a little bit more color on how you see that transpiring over the course of the year and perhaps into next?
Kelvin Paul Michael Dushnisky - President: Sure.
Anita Soni - Credit Suisse Securities (Canada), Inc: Sorry, not Veladero – it was Lagunas Norte, sorry.
Kelvin Paul Michael Dushnisky - President: Sorry. Matt.
Richard J. Williams - Chief Operating Officer: Forgive me, Kelvin. I think with respect to Lagunas Norte, Basie, why don't you have a view on Lagunas Norte going forward?
Basie Maree - Chief Technical Officer: So, as we know, Lagunas Norte is nearing the end of its life on the current ore body. Hence, the project, pre-feasibility study to look at the deeper sulfide ore body there. The guys are moving into a bit of a transition zone there between the oxides and the sulfides and we're forecasting for the next quarter to have a little bit more refractory ore scanning into the operations. The guys classified what they call M1 to M3 type material. We're seeing a little bit more of the refractory M3s coming in which lower the recoveries. They are looking at optionality in the mine plan and the design to see if they can bring a bit more oxides forward. But it's going to become difficult between now and the transition to the new project because of the – the ore body is nearing its end of its life.
Anita Soni - Credit Suisse Securities (Canada), Inc: Okay. And just a follow-up question with regards to capital. I think I calculated that the total CapEx from the $1.7 billion from what you have presented to date would require about $400 million in the fourth quarter. Is that correct?
Shaun Usmar - Senior Executive Vice President and Chief Financial Officer: It sounds, yeah. Yes, it's slightly more than that. We've done a lot to sort of prevent any bellwether capital in this business, and with our revamp planning, we're seeing that actually a big improvement through the five years. So, we're pretty comfortable with that but yes, just over $400 million, and that's being consistent with our run rate over the last couple of quarters.
Anita Soni - Credit Suisse Securities (Canada), Inc: Sorry. Is there any specific projects or mines that will see a little bit more spending than the rest in the fourth quarter?
Shaun Usmar - Senior Executive Vice President and Chief Financial Officer: Not really. We're just finishing off the studies that we've talked about in the presentation and much of this is sustaining and development capital in our pro forma.
Anita Soni - Credit Suisse Securities (Canada), Inc: All right. And then last, could you just talk about some of the improvements that you've seen at La Mona?
Kelvin Paul Michael Dushnisky - President: Well, I guess a couple things, first of all, the team's worked very hard to drive down costs as you can see from the numbers. It's benefited from the kwacha devaluation certainly. I think the kwacha's down 50% roughly for the year. And that represents about 30% of our costs at La Mona. So, we benefited from that. But the team's been consistent across the operation in driving down mining costs and they've done a very good job from year-over-year.
Anita Soni - Credit Suisse Securities (Canada), Inc: All right. Thank you very much.
Kelvin Paul Michael Dushnisky - President: Thank you.
Operator: Thank you. The next question is from David Haughton from CIBC. Please go ahead.
David Haughton - CIBC World Markets, Inc.: Good morning, Kelvin and team. Thank you for taking our questions. Well, the first one I've got is, trying to understand a little bit of a conflict if you like between Shaun's slide nine and Basie's slide 20. So, from Shaun's discussion of cost saving or cash flow saving, about one-third of that's coming out of capital. And I then have a look at Basie's slide 20, and you've got a lot of really interesting opportunities there. So I'm just wondering, where are those CapEx savings coming from, and to what extent do the projects that Basie's been talking about get sacrificed as a consequence?
Kelvin Paul Michael Dushnisky - President: Shaun, do you want?
Shaun Usmar - Senior Executive Vice President and Chief Financial Officer: David, hi. Look, actually as we've gone through firstly revamping our capital allocation, what we've focused on there is not just the robustness of the plans, but really the sequencing of some of these because we've got a number of projects, which clearly exceed our hurdle rate and really represent low risk and those are the ones that we're prioritizing. And you'll see in the presentation there was a big emphasis on the 94 million ounces of resources here, which represent the best near-term growth options given the skill sets and what we have. So, with our life-of-mine planning, you'll see this come up in the guidance next quarter, a big focus on upgrading the capability and the benefits over a reasonable period of time. And then the sequencing of the high return, better – near-term and better return projects that we've got. I'll make one last point to this though, I'd say that there was a lot of parallel spend that we found when we started improving our capital allocation. We reduced the burn in the areas that you would expect, which are things that will come off in a different price environment will need work, but we've got a very strong focus on improving not just our balance sheet but obviously trying to replace the reserves that we're depleting with mining. So stay tuned for Q4.
David Haughton - CIBC World Markets, Inc.: Okay. It's quite a balancing act, I can see that.
Shaun Usmar - Senior Executive Vice President and Chief Financial Officer: It is.
David Haughton - CIBC World Markets, Inc.: And based on your comments there, I'm just wondering to what extent would those capital reductions through 2016 be simply deferral of expenditure for projects that do look promising?
Shaun Usmar - Senior Executive Vice President and Chief Financial Officer: We've got some deferrals, but what I'm seeing in our latest revised or improved life-of-mine plans is actually reimagining of some of the projects that we've got there to be less capital intense and higher return. So this isn't about just moving things down the road. I mean, we are having to try and balance those alternatives of continuing to improve the balance sheet, but obviously focusing on growth and again, we'll give more guidance on that in Q4. But we are seeing a good effort from not just the guys at the mine sites, but the project teams to embrace the different approach we've got now.
David Haughton - CIBC World Markets, Inc.: Okay. Thank you for inviting Andy and Matt on the call. I do have a question for Andy. I'll just stay with one, given we've got time issues. Looking at the TCM project, you'd spoken, Andy, about the ramp-up of both the throughput and also the recoveries. Can you give us an idea what kind of timeline you've got to get ultimately to the 12,000 tonne per day kind of limit and what your goals would be of those recoveries through time?
Andy Cole - General Manager, Goldstrike: The question as far as throughput, we hope to be near 12,000 tonnes per day very shortly. As I mentioned, we are continuing to see improved throughput every month, so hopefully, by the end of the year. As far as recoveries, David, there's a few surprises related to some of the work characteristics that we're working through. So, as I mentioned, we will continue to work on those and hopefully have them worked out by the end of the first half.
David Haughton - CIBC World Markets, Inc.: My recollection was there was a goal for it to be in the 80% kind of level. Is that still a target?
Andy Cole - General Manager, Goldstrike: Yeah and that's fair. It's really dependent upon the grade feeding the plant. At this point in time, as I mentioned, we have with the flexibility of having the autoclaves as a viable option for processing, we're able to optimize our routing. So, right now, the higher grade is going through the roaster, the lower grade is going through the autoclave facility. So, we have the grade versus recovery curves, and so that the lower grades, it's going through there. Right now, we're in the 60%s. Ideally, we'd like to see it come up a bit higher than that.
David Haughton - CIBC World Markets, Inc.: And we're talking here about ideally plus 3 gram kind of material, I presume.
Andy Cole - General Manager, Goldstrike: Right now, we're running in the neighborhood of 1.5 grams, somewhere in that neighborhood.
David Haughton - CIBC World Markets, Inc.: Okay. All right. And just last question. Did you record any throughput in the third quarter? Or was it considered pre-commercial then?
Andy Cole - General Manager, Goldstrike: No, it was... yeah.
Shaun Usmar - Senior Executive Vice President and Chief Financial Officer: David, we did. We transitioned from pre-commercial to commercial I think it was in July.
David Haughton - CIBC World Markets, Inc.: Okay. All right. Thank you very much for your help, guys.
Andy Cole - General Manager, Goldstrike: Thanks, David.
Operator: Thank you. The next question is from Andrew Kaip from BMO Capital Markets. Please go ahead.
Andrew Kaip - BMO Capital Markets (Canada): Hi, good morning. Look, I've got just a follow-up question with Andy and the TCM circuit. You indicated that production for the fourth quarter is going to be comparable to the third quarter but that costs were going to be slightly higher. Can you provide any additional information on why costs will escalate slightly in the fourth quarter? And then will the slightly higher costs be something that we should be looking at for 2016?
Andy Cole - General Manager, Goldstrike: The slightly higher costs are primarily related to the fact that we are bringing TCM online fully, and so we're reporting on a cost of sales basis, Andrew. So, the costs are slightly higher at this point in time. Once we get tonnage fully ramped up, we'll expect the costs to come back more in line.
Andrew Kaip - BMO Capital Markets (Canada): Okay. No, that's useful. And then just regarding Veladero and the optimized pit design. You've optimized for grade over the next four years. I'm just wondering, if we look out beyond that four-year timeframe. Are we expecting there to be an increased stripping requirement to get back into higher grades over a period of time? Can you give us some more insight on how Veladero will look beyond that four-year timeframe?
Andy Cole - General Manager, Goldstrike: Thanks, Andrew. Basie has been a spending a lot of time with Veladero. Basie?
Basie Maree - Chief Technical Officer: Yes, Andrew. We look at two mine blends here, what we call Pit 20 and Pit 24. The most optimized pit design for us at this stage is to go with the reduced life of mine for Veladero at the optimized pit, which means the life of the mine might be shortened when the final plans come out. I have (50:40) cash flow going forward in the near term. There is the opportunity still for us in the next planning cycle, and the guys are already starting to work on that to look at what needs to be done to get that pit straight back into place again. It will require additional capital spend in later years, and that's the trade-off studies the guys need to do between now and the next planning cycle.
Andrew Kaip - BMO Capital Markets (Canada): Can you give us a sense of how much the mine life is potentially shortened?
Basie Maree - Chief Technical Officer: Yeah, those are the studies the guys are doing the trade-offs on at the moment.
Andrew Kaip - BMO Capital Markets (Canada): Okay.
Basie Maree - Chief Technical Officer: But it will be two or so years.
Andrew Kaip - BMO Capital Markets (Canada): All right. So, this is something that we'll expect to get more information from at year-end.
Basie Maree - Chief Technical Officer: Yeah, absolutely.
Andrew Kaip - BMO Capital Markets (Canada): All right. Thank you very much.
Andy Cole - General Manager, Goldstrike: Thanks, Andrew.
Operator: Thank you. The next question is from Jorge Beristain from Deutsche Bank. Please go ahead.
Chris Terry - Deutsche Bank AG (Australia): Hi, guys. It's actually Chris Terry here. I had a couple of questions, just relating to slide nine on the cost out target. Thanks for giving some more clarity on the breakdown of the pie there. Just wanted to check that the like-for-like is done post the asset sales that you completed in 2015. I mean obviously corporate costs have come down from some office restructures probably related to those deals, but everything else is done now like-for-like. And then, just following on from that, in terms of the great job you've done at reducing the debt and nearing the target for the year, now that you are generating free cash flow, is it fair to say that into 2016 we wouldn't expect another aggressive target? You're pretty much at a level where you're now comfortable that the operations will do most of the deleveraging of the balance sheet for you?
Kelvin Paul Michael Dushnisky - President: Shaun.
Shaun Usmar - Senior Executive Vice President and Chief Financial Officer: Chris, look, I think I'll start with the second of your questions. And the short answer is that, we've been able to identify improvements in generating cash not just at the operating level but obviously at the corporate level, and we've tried to capture that just in the summary. We've actually got internal plans, which are at – focusing more intensely as we go forward on productivity and efficiency. And I expect from 2016 and beyond, you're going to see these sort of very data-driven improvements at the site level starting to seep through. Richard and Basie are already spearheading this and that will be the next incarnation because there is opportunity. You've seen the sector as a whole, I think we see the deteriorating productivities in a fairly long period of time and that's the next frontier we'd seek to address. On the first question, the answer is yes. We're looking at this on a like-for-like basis. And ultimately just because you're selling asset, you're selling the cash flow with that as well. We're focusing on generating cash to cover the overheads and the costs that this business carries. So we're not trying to game it by selling an asset and selling the cost with this. This is a window into the improvements that we are driving within this business.
Chris Terry - Deutsche Bank AG (Australia): Thanks very much.
Operator: Thank you. The next question is from Patrick Chidley from HSBC. Please go ahead.
Patrick T. J. Chidley - HSBC Securities USA, Inc.: Yeah. Good morning, everybody. Just a couple of questions. First, a bit of an exploration question just on Hemlo. You've pointed out that this is a bit of a drilling success story amongst – across the whole portfolio. Can you give us some more detail on what's been going on there, and is the – what kind of intersections are you talking about, and how close are they to the current operations?
Kelvin Paul Michael Dushnisky - President: Patrick, Kelvin. I'm going to ask Rob Krcmarov is with us to comment on that.
Patrick T. J. Chidley - HSBC Securities USA, Inc.: Thanks.
Robert L. Krcmarov - Senior Vice President-Global Exploration: Thanks. Hi, Patrick. As you know, we completed the acquisition of surface and mineral rights next to Hemlo, and they extend for about 4 kilometers to the west of the property. At Hemlo, in the David-Williams area, underground development, stope mining and visible gold mineralization. They extend right up to the former property limits in what we call the C zone. And so we have a high level of confidence that continuity and extending the mineralization beyond the property boundaries was going to be there. And more recently, we've reviewed the core on the data that we've acquired with the property and it confirms the potential. And really most of the existing viscosity (55:21) space drilling on the property is broadly consistent with those that we've encountered in areas that we've been mining at the Williams portion of the Hemlo mine. And so our initial drilling has been very encouraging. And I think the key point is that the mineralization is very close to the development, and it can be mined fairly shortly. So I think we'll continue to add reserves there for many years to come.
Patrick T. J. Chidley - HSBC Securities USA, Inc.: Right. So it's sort of a strike extension onto a neighboring property.
Robert L. Krcmarov - Senior Vice President-Global Exploration: That's right. And there's about six other areas where we expect to see extensions both underneath the B zone, underneath the C zone, up closer to the surface, plenty of potential there.
Patrick T. J. Chidley - HSBC Securities USA, Inc.: Okay. Thanks. And anywhere else in the portfolio that you're highlighting for geological increases in reserves, say, not just economically defined, but geologically defined?
Robert L. Krcmarov - Senior Vice President-Global Exploration: Yep. So some of our key exploration projects, for example, starting up around the mines. I think many of them really still have good potential for mining reserves and resource additions. But if I had to highlight some, in terms of organic growth, we've got options to increase the production from the TR shaft and Cortez underground expansion. Lagunas Norte sulfides that could extend the mine life by about 12 years albeit at a lower level than today. We've also got good potential to convert resources to reserves in the next five years in many of our operating sites. But looking further ahead and farther afield in what we call global exploration, I think there's still tremendous upside elsewhere on the Cortez property. And that includes the extensions of high grade mineralization at Goldrush and the Four Mile project and that's roughly about 1 kilometer to 3 kilometers further north of Goldrush. That's in a geological position that's somewhat analogous to the high grade Deep Post and Deep Star deposits, which are near Goldstrike. And also, like at Goldstrike, adjacent to an intrusion, some very recent wide spaced drilling intersected mineralization well above Goldrush's average M&I resource grade. And then in Chile, while drilling will resume any day now at Alturas after the spring thaw. We've learned a lot at Alturas and we'll be applying that to ongoing exploration on both sides of the border. I think the key point to highlight is that our non-mine exploration is really seeking to find better deposits from both in our existing and already strong project portfolio.
Patrick T. J. Chidley - HSBC Securities USA, Inc.: Great. Thanks. Well then that extension at Goldrush, is that close to the area where you're planning to start that decline?
Robert L. Krcmarov - Senior Vice President-Global Exploration: It is. It would be closer to what's currently planned as the decline border.
Patrick T. J. Chidley - HSBC Securities USA, Inc.: Okay. So, you've found similar mineralization up there really?
Robert L. Krcmarov - Senior Vice President-Global Exploration: It's actually higher grade than what we've encountered in the average M&I grade. We don't really know this – if you predict directly along Strike (58:15) from Goldrush, it looks like it may be turning a little bit.
Patrick T. J. Chidley - HSBC Securities USA, Inc.: Right. Okay. And that was a surprise or was that was something that you kind of knew about from previous exploration?
Robert L. Krcmarov - Senior Vice President-Global Exploration: No, it was a surprise. This was very wide spaced drilling. This is a significant extension, well north of Goldrush and the drilling was spaced 200 meters apart. So, very widely spaced.
Patrick T. J. Chidley - HSBC Securities USA, Inc.: Great. Excellent. Thanks, Rob. Just one more question if I may just on – to Shaun maybe. In terms of your inventory, obviously decreasing your inventory, can we expect that trend to continue at similar rates or was this quarter special?
Shaun Usmar - Senior Executive Vice President and Chief Financial Officer: I'm really hoping we'll continue to see improvements through next year, if not at similar rates, perhaps even in better. We're looking at opportunities not just at the site level, but I mean throughout. So, the short answer is yes, we're targeting this and there are areas for more opportunity.
Operator: Thank you. There are no further questions at this time. I would like to turn it back over to Mr. Dushnisky.
Kelvin Paul Michael Dushnisky - President: Thank you, operator, and thank you, Patrick, bringing this to the end of the call. I would like to thank everybody for joining us today, and we look forward to speaking to you again when we report our year-end results. Thank you very much.
Operator: Thank you. The conference call has now ended. Please disconnect your lines at this time. We thank you for your participation.